Operator: Greetings, ladies and gentlemen, and welcome to Fiesta Restaurant Group First Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] It is now my pleasure to introduce your host, Mr. Raphael Gross. Thank you. Sir, you may begin.
Raphael Gross: Thank you. Good afternoon, everyone. Fiesta Restaurant Group's first quarter 2019 earnings release was issued after the market closed today. If you have not already accessed it, it can be found on the company's website www.frgi.com under the Investor Relations section. Before we begin, I'd like to inform you that during the call today, the company will make various statements that are not based on historical information. These forward-looking statements include, without limitation, statements regarding the company's future financial condition and results of operations, business strategy, budget, projected costs and plans, and objectives of management for future operations. Actual outcomes and results may differ materially from what is expressed or forecasted in such forward-looking statements and the company can give no assurance that such forward-looking statements will prove to be correct. Important factors that could cause actual results to differ materially from those expressed or implied by the forward-looking statements can be found in the company's SEC filings. Please note that during today's conference call, certain non-GAAP financial measures will be discussed which the company believes can be useful in evaluating its performance. Any discussion of such information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP and reconciliation to comparable GAAP measures is available in the company's earnings release. On the call today are President and Chief Executive Officer, Rich Stockinger; and Chief Accounting Officer and Interim Chief Financial Officer, Cheri Kinder. And now I will turn the call over to Rich.
Rich Stockinger: Thank you, Raph. Let me begin with a brief overview of the recent quarter followed by an update on our brands' initiatives. We are encouraged to see the positive impact that the initiatives underlying our Strategic Renewal Plan had on our results. We generated improved first quarter adjusted EBITDA in restaurant-level adjusted EBITDA margins at both brands compared to the prior year period despite the impact of higher rent expense in 2019, as a result of the new lease accounting standard. While comparable restaurant sales fell 2.6% at Pollo Tropical during the first quarter, we experienced a sequential improvement through the 3-month period. We believe that this improvement was primarily due to the relaunch of our Pollo Time everyday value platform in February, which we have come to appreciate is so important to our guests. Pollo Time represents 10% of our total sales mix and 17% of our entrée mix. Cannibalization from new development and increased competitive intrusion, however, continues to negatively impact our core South Florida markets. We are very pleased that we are seeing very strong sales growth in our non-core Orlando market and more modest growth in Southwest and Northern Florida. Seeing this performance in geographies outside of Miami-Dade, Broward and Palm Beach counties provides us significant optimism for the potential of improved sales and margins outside of these core markets through our brand repositioning efforts. In April, Pollo Tropical comparable restaurant sales decreased 0.7%, but believe -- we believe that this too understates our progress when you consider certain additional factors. Pollo Tropical comparable restaurant sales were approximately 20 basis points better than Black Box fast-casual industry peer comparable restaurant sales in the markets in which we operate through April 21 2019. The timing of Easter negatively impacted April comparable restaurant sales by approximately 45 basis points and sales cannibalization from new restaurants on existing restaurants negatively impacted comparable sales during this timeframe by approximately 140 basis points. At Taco Cabana, comparable restaurant sales fell 0.5% as results were somewhat choppy throughout the quarter. We believe this was due in part to unfavorable weather in Texas that greatly impacted our patio business. In April, Taco Cabana comparable restaurant sales decreased 3.1%. Taco Cabana restaurant sales were about 130 basis points better than Black Box fast-casual industry peer comparable restaurant sales in the market in which we operate through April 21, 2019. The timing of these had also negatively impacted Taco Cabana April comparable restaurant sales by approximately 40 basis points. This year and despite our soft sale start, we expect to deliver increased growth and comparable restaurant sales by introducing a variety of initiatives that I will discuss shortly supported by impactful digital media and traditional marketing. As an example, of the focus we placed on effective brand communication and messaging, we recently contracted with Field Day for a local store marketing platform to expedite our LSM efforts. As we did in the first quarter, we believe we can generate higher profitability and margins on a consolidated basis for the full year by leveraging the expenditures within the four walls. This includes leveraging favorable commodity costs and prior year investments. With that, let me give you a more detailed update by brand. Starting with Pollo Tropical. Our My Pollo digital loyalty program that we implemented back in December continues to build steam and has reached over 130,000 members as in the end of April. While we are focusing on encouraging guests to download our loyalty app with redeemable points for those that do not want to download our app, we'll continue to encourage participation in our e-mail club which has over 534,000 members and functions essentially the same as our app based on -- Apple-based digital program. We are still in the early innings on this platform, but we are encouraged by the progress to-date and we'll continue to actively promote the program, using digital ads, social media, e-club mailings, in-restaurant POP and sign-ups at local store marketing events. Note that the average check of members is also slightly higher than nonmembers so loyalty both encourages traffic and enhances check. My Pollo also allows us the opportunity to learn more about what our guests want and better target our marketing efforts by accumulating and analyzing customer purchasing data and habits. We also continue to be excited by our Pollo Tropical catering opportunity. As we mentioned on our last call, we've rebranded catering effort under catering by Pollo Tropical and have positioned it as both a compelling B2B and B2C option offering delicious, fresh and flavorful food for any business or social occasion. We are also investing an equipment to support this line of business with dedicated equipment for our catering hub units, the introduction of a ghost kitchen in Miami-Dade and new delivery vehicles. As we continue refining our catering program and messaging, we have found that some of our B2C customers perceived the term catering as expensive which is certainly not our intention. To overcome this perception, we'll be testing alternative promotional positioning, such as emphasizing party planners of various sizes for informal, family or social gatherings with party by Pollo in an effort to broaden our program's appeal to B2C customers. Our delivery platform through partnership with DoorDash is also gaining momentum and we're encouraged with the continued positive trend into the second quarter. We are in the early stages of creating awareness for this convenient option, but remain confident that it can become an important alternative for many guests, particularly given that our food travels so well and it's the food of choice in our core markets. During the quarter, Pollo Time was our primary marketing campaign with offerings such as $3.99 quarter chicken meal on lunch weekdays, $5.99 1/2 chicken meal on dinner weekdays and $12.99 original family meal on weekends. This campaign continues to be featured on TV with real guest testimonials and an increased emphasis on the freshness and quality of our ingredients and recipes. We also promoted fire grilled chicken and during the Lenten season shrimp skewers. April -- on April 29, we began celebrating the anniversary of our successful Pollo Bites platform with a $1 promotion while introducing a new way for our guests to enjoy our Pollo Bites with a rollout of our new Pollo Bite Sliders. Other new product innovation includes new Cuban sandwich, the Cuban chicken sandwich as well as empanadas filled with Nutella. We continue to emphasize the quality of our operations to further encourage return visits. During the quarter, we rolled out portable POS tablets with secured payment at all Pollo restaurants to further improve speed of service and guest interaction in the drive-through. Initial feedback has been very, very positive. With respect to kiosk ordering, we will begin testing in the next two months. We have also resumed our restaurant remodeling effort with 10 to 13 facility upgrades planned for year in order to better match our restaurant's interior to the quality of our food. Although we did not complete any remodels during the first quarter itself we expect to invest approximately $3 million in our remodel program in 2019. Let us now turn our discussion to Taco Cabana. As with the case with Pollo, Taco's MY TC! loyalty program, which was launched last September continues to gain traction amongst our guests. With over 112,000 members using our loyalty app and 300,000 on our e-mail program to date, we consistently see higher check average per loyalty members compared to the system. To that end, we are actively promoting My TC! to encourage more guests to sign up and to become My TC! members. Like My Pollo, in addition to the higher check My TC! also allows us opportunity to learn more about what our guests want and better target our marketing efforts by accumulating and analyzing customer purchasing data and habits. During the month of March, we completed the rollout of our DoorDash delivery service to all of our Taco Cabana restaurants in Houston Dallas and El Paso. Feedback has been positive thus far and we look -- we'll look to build on our early traction. We're also excited by our Taco Cabana catering program, which like the Pollo program is positioned as both a compelling B2B and B2C option offering delicious fresh and flavorful food for any business or social occasion. While Taco Cabana catering has only been available in our major markets, we are laying the groundwork to expand our catering efforts throughout the entire system and expect the necessary systems to be in place later this year. We're also investing in new delivery vehicles for Taco Cabana. In terms of menu innovation, we rolled out our new brisket tacos and LTO fish tacos during the quarter supported by TV and digital promotions. We also promoted our TC Time! value menu with the rollout of reduced prices for selected taco dual offerings. Unlike Pollo Tropical alcohol sales is one of the main restaurant-level margin drivers at Taco Cabana. To that end, we're testing and expanding our alcohol and beverage selection at all at our Taco locations including products such as rum, tequila, wine and beer. Our patio program which has been negatively impacted by the weather this year continues to be a significant opportunity for the brand. Operationally, we continue to test revised operating hours, refine the way we manage food and labor. We are also updating our recipe books and cooking guides to ensure consistent high-quality products are prepared throughout the day, while at the same time reducing waste and optimizing staffing. And we plan to test a simplified menu later this year to improve efficiency, reduce complexity, and make it easier for our guests to order. Lastly, we are increasing the use of shift leaders to promote leadership development with the added benefit of reducing costs. As we have done at Pollo, we have added upgraded POS tablets at our Taco Cabana restaurants in an effort to increase sales through speed of service, and we're working to take further advantage of one of Taco Cabana's greatest assets by expanding functionality to our patios. This year we will remodel 10 Taco Cabana restaurants and expect to invest $3 million to remodel these restaurants, although none were completed in the first quarter. But, two new Taco Cabana locations have opened today at better than budgeted sales levels. In summary, we remain committed to amplifying our brand's everyday value platforms, keeping our menu fresh and improving operations through ongoing innovation capitalizing on our growing My Pollo and MY TC loyalty and e-club programs and strengthening our partnership with DoorDash for delivery services. Together with catering opportunities that exist for both Pollo Tropical and Taco Cabana, we believe we are building foundational sales growth platforms that will create long-term value for our shareholders. I want to thank all our team members and vendors for their passion and support in bringing these two brands back and for their continued support in the future. With that, let me turn the call over to Cheri to go through our financials in greater detail.
Cheri Kinder: Thank you, Rich, and good afternoon, everyone. Total revenues decreased 2.1% from the prior year period to $165.9 million due primarily to comparable restaurant sales to clients at both Pollo and Taco and the closure of restaurants in 2018. We operated fewer restaurants at quarter end versus the year ago period. Comparable restaurant sales at Pollo decreased 2.6% compared to a 1.1% increase in the first quarter last year. This year's decline consisted of a 5.5% decrease in comparable restaurant transactions and a 2.9% increase in average check, inclusive of 3.5% in pricing. Pollo Tropical comparable restaurant sales were approximately 250 basis points worst than Black Box fast casual comp sales in the market in which we operate, and transactions are approximately 150 basis points worse. Sales cannibalization from new restaurants on existing restaurants negatively impacted comparable restaurant sales by approximately 100 basis points. At Pollo, restaurant level adjusted EBITDA a non-GAAP measure as defined in our SEC filings, decreased by $0.4 million, primarily due to a $0.4 million increase in rent expense due to the adoption of the new lease accounting standard as well as lower restaurant sales and higher other restaurant operating expenses as a percentage of restaurant sales. These were partially offset by lower cost of sales and labor as a percentage of restaurant sales. Despite weaker top line results from the 40 basis point negative impact of the new lease accounting standard, Pollo Tropical's restaurant level adjusted EBITDA margin for the first quarter improved by 40 basis points compared to the prior year period, reflecting our healthier restaurant portfolio as Rich mentioned earlier. The new lease accounting standard had a significant impact on our results of operations, because we had $18.6 million in deferred sale leaseback gains, from which we will no longer receive a benefit to rent expense. Prior to adopting the new lease accounting standard, we amortized deferred sale leaseback gain as a reduction to rent expense. We also have a significant number of closed restaurants from which we had previous reserves that we can no longer use to offset our closed restaurant rent payment. Comparable restaurant sales at Taco Cabana decreased to 0.5%, compared to 1.7% decrease in the first quarter last year. This year's decline consisted of a 3.6% increase in average check inclusive of 3% in pricing and positive sales mix associated with menu items and promotions with higher prices and a 4.1% decrease in comparable restaurant transactions. Taco Cabana comparable restaurant sales were approximately 20 basis points better than Black Box fast-casual comp sales in the markets in which we operate and transactions were approximately 40 basis points worse. At Taco Cabana, restaurant-level adjusted EBITDA, a non-GAAP measure as defined in our SEC filing increased by $0.8 million despite a $0.5 million increase in rent expense due to the adoption of the new lease accounting standard. The increase was primarily due to lower cost of sales in labor as a percentage of restaurant sales and lower other restaurant operating and advertising expenses. This was partially offset by higher rent due to the adoption of the new lease accounting standard. As a percentage of restaurant sales, Taco Cabana's restaurant level adjusted EBITDA margin improved by 110 basis points compared to the prior year period despite the 60 basis point negative impact to the new lease accounting standard, which again reflects a healthier restaurant portfolio. During the quarter, consolidated adjusted EBITDA, a non-GAAP measure defined in our SEC filings increased $0.3 million to $17.2 million despite the impact of the new lease accounting standard, which negatively impacted consolidated adjusted EBITDA by $0.8 million. Net income was $2.3 million or $0.08 per diluted share in the first quarter of 2019 compared to net income of $4.2 million, or $0.15 per diluted share in the first quarter of 2018. Adjusted net income was $4.1 million or $0.15 per diluted share and would have been $0.02 per diluted share higher absent the accounting changes resulting from adoption of the new lease accounting standard in the first quarter of 2019. This compares to adjusted net income of $4.3 million, or $0.16 per diluted share in the first quarter of 2018. Please see the non-GAAP reconciliation table on our earnings release for more details. Turning to development and capital expenditures for 2019. We plan to open three restaurants at Pollo Tropical and three to four restaurants at Taco Cabana with capital expenditure expectations of $45 million to $55 million. So far through the end of first quarter we've opened two Taco Cabana restaurants. Our CapEx range includes $11 million to $14 million to develop new company-owned restaurant $9 million to $11 million to implement IT and other systems project and $1 million in catering equipment. In addition, we are also planning to invest $16 million to $18 million for restaurant remodeling at both brands and equipment to support new menu platforms and other facility enhancements, as well as $9 million to $12 million for capital maintenance. Thank you. We will now open the line for question.
Operator: Thank you. Operator Instructions] Our first question comes from the line of Will Slabaugh with Stephens, Inc. Please proceed with your question.
Will Slabaugh: Thank you. I had a question on Pollo to start. Around menu innovation, you've done a good amount in the past year with the Crispy Pollo Bites obviously performing really well. Can you talk about your approach to menu innovation from here given the slider announcement today? And where you more broadly see the opportunities on the Pollo menu?
Rich Stockinger: We will, -- and Will, thank you. We will be concentrating on chicken. There is no doubt. We have definite room with our deserts. And changing out some of the desserts, and we feel very excited about the empanada filled with Nutella, as well as looking at some other fillers in there. As you can see, even with the success of the Pollo Time platform, our check averages have not gone down. Our DMP has not gone up significantly. So between the corn fritters which have done extremely well for us we'll be rolling out -- tostones is coming out again in the next window. So it's always product innovation around the chicken. Yes. We've looked at certain steak items et cetera. But we're chicken. It's our citrus-marinated chicken. And we're going to take -- that's going to be our key focus, plus adding add-on sales opportunities, such as we did with the corn fritters. We will be with the tostones.
Will Slabaugh: Got it and shifting over to Taco, wondered if you could talk a little bit about the margin progress there. I know there were a number of points that you made over the past three quarters, around supply chain and some other lines where you had some opportunity. Can you give us the update there? And also, I know we had sort of referenced where we were versus where we could get. I don't know if there's any update or if you're willing to say what that opportunity may be from a margin standpoint over time?
Rich Stockinger: Well -- I can – Will, as you know, me now I'm not -- we're not happy where we are, but we're happy where we're going. The cost of goods has not gone up as much at Taco as it gone with Pollo, because it was driven by primarily chicken. That was favorable. We did have a negative with the steak at Taco. And we ate that impact rather than increasing price. But we thought strategically the right thing to keep it as a choice, rather than lowering the quality. It's been in the labor, as well as other operating expenditures. I mean Chuck and his team has done an amazing job and Ulyses, who is our VP of Operations, they've really implemented the cost controls where we don't cut costs, we're managing costs. We manage cost on a daily basis now at Taco. So there's no surprises, there's not one item, it's a lot of little items, that are adding up to significant margin enhancement without negatively impacting the guests' satisfaction and the guests' experience.
Will Slabaugh: Got it, thank you.
Operator: Thank you. Our next question comes from the line of Joshua Long with Piper Jaffray Please proceed with your question.
Joshua Long: Great. Thank you for taking my questions. Wanted to see if we might be able to talk about digital channel as you push into the delivery, at My Pollo loyalty program and even at Taco, what you're learning about your guests? And how they want to use the brands? And just insights on how you may be able to evolve that going forward?
Rich Stockinger: Well, interesting to note, what we've been able to learn, is that the millennials have rated as higher than the non-millennials for the NPS scores at both brands. That is a significant opportunity to any restaurant leader. Now we just have to go out, and get those millennials to try us. So again, we're doing much more into the social media on both brands. We're doing much more with the digital. And with our digital partners like Southwest Media, where we're putting together programs that are specifically identifying markets, and then guests within market that we should be going after. So, I would say, it's not one, it's -- and it's not as much driven off of TV, even though right now we've got to use TV. It's bringing that social and digital platform basically what our competitors are doing. But to us, we feel a huge opportunity in both brands at the millennials.
Joshua Long: Great, that's helpful context. Looking forward to seeing what comes out of that initiative-wise. When we think about kind of the competitive environment for sales, but then also just on the cost side of things how are you feeling about the value proposition and maybe thinking about the recipe your appetite to take menu price or at least balance that kind of cost environment with protecting the margins a little bit.
Rich Stockinger: Yes. We operate in very difficult areas. If you look at the poverty levels in a lot of our key core markets, it's significantly higher than the national average, in fact some of the highest in the country. Value is significant to us. Our plans right now is for Pollo. Pollo Time will stay where it is. It's going to be a permanent section of the menu and concentrate on these add-on sales as we've been successful with the first couple of months of the rollout again. Your check average has not gone down. At Taco, it's the same thing. We're trying to simplify the menu because it's gotten too comprehensive and cumbersome, but we had rolled the value platform. It's just started. It's building traction. And again with Taco also there's a lot of things that we're doing in the food side of trying to come up with items that will be add-on sales. We really don't want to push the price this year. We'll look at it again at the end of the summer, but we're not looking and taking any significant or maybe any pricing with the remaining of -- remaining part of the year subject to external factors changing.
Joshua Long: Understood. Thanks for that. And then last one for me. You mentioned some of the newer -- I think it was Taco Cabana units opening at higher than expected volumes. Curious if you have some insights into what's driving that if it was good site selection just really good opening execution by the store-level team. And then as I think longer term the spending time in the restaurant, it seems like there's an opportunity there to complement all the work you've done on the food side with maybe some work on the non-alcoholic beverage side as well. Curious on -- if that's something that's in the plans or we could think about that for the brand going forward? Thank you.
Rich Stockinger: Okay. First Josh on the non-alcoholic beverage you're 100% right. We've started it here at Pollo; we'll be looking at rolling it out to Taco. We've done it with fresh lemonade. We've done it with regular lemonade as well as the [technical difficulty] brand. And we'll be looking at that also -- things like that at Taco. The two restaurants we're talking about one was in Murphy, Texas; and one is in Houston. Westheimer is a former Pollo, so I can't say anything about the site selection. Didn't work for some Pollo, but Taco is doing extremely well. They're a little different. It's a closed kitchen where we've then able -- when we closed the kitchen, we've then able to basically open up the walls almost like garage door making it a huge patio. So, we're excited about that. And the other one is a little different. It's a converted -- a unit of one of our competitors at least chicken competitor. We spent less than $1 million on the conversion which is about what we spent on all of the conversions. It's in an area that's a little higher end, higher income, little different geographic profile that we've done in the past and it's doing extremely well. More families than we would typically have at a regular Taco. But it's early in the game, but we're really excited about the early results there.
Joshua Long: Great. Thank you for that clarity. I'm familiar with the Westheimer story. It is an interesting one and one that I've been going a lot so looking forward to seeing how that progresses. Thanks so much.
Rich Stockinger: Hope to see you there soon.
Operator: Thank you. Our next question comes from the line of Brian Vaccaro with Raymond James. Please proceed with your question.
Brian Vaccaro: Thanks, and good afternoon. Just a couple of quick ones for me. Starting with the regional performance, you called out the strength in Orlando and some non-core markets. Could you just give some more context, on what you believe drove that? And I think you're working on a brand relaunch for Pollo in the non-core markets. Could you give an update on where you're headed there in terms of broadening the appeal or the concept and just a quick update on that?
Rich Stockinger: Sure. Firstly, Orlando, we have been very excited about Orlando, but it's come with a lot of hard work. We've had a new organizational leader there who's done an amazing job up in Orlando. We benefited by the influx of people from Puerto Rico and what happened to them in Puerto Rico. And I will tell you that it's not just Orlando, but it's throughout. We're very excited to see the positive impact of the improved products and the renewal plan that is having now a drive to bring in guests, new guests, guests coming back more often where that top line is improving in some areas double-digit which of course improves the margin level. So Orlando again hard work. We did a lot of changes up there. We had to put a lot of effort in there on the renewal program. And to us the non-core markets is not just Orlando, it's working and that gets us very excited about it.
Brian Vaccaro: Okay. And any comments on where you're headed on sort of the mini-brand relaunch, if you want to call it that?
Rich Stockinger: Yes. It's too early on that. We're looking at a lot of things. We are looking at colleges and universities to help us. And I know it's a small market, meaning it's a younger crowd millennials. Learning from something there. But too early to tell on exactly where it's going to happen and when it's going to happen. Right now, we're just collecting the data.
Brian Vaccaro: All right. That's helpful. Quick one on third-party delivery. Could you speak to just how that's performing at each brand, maybe give us a sense of sales contribution or average check and how incremental you view those sales and maybe a quick comment on the profitability of those sales channels versus traditional dine in or drive-through?
Rich Stockinger: Sure. Like every other restaurant CEO it's too expensive. But at Pollo, it's early, it's only 2%, 2.5% of our total sales and where it's coming from right now is our drive-through. So there's no really incremental today. But again, it's way too early in the game. I expect that we should be anywhere from 10% to 15% just like our competitors. And by then I do believe you'll see some incremental increase. It's definitely had an impact on our margins negative, despite the fact we had lower sales than we wanted to have. We've got margin enhancement, despite the lower sales. We had margin enhancements despite the increased cost due to delivery. But it's so small right now. It's 2%, 2.5%. And it's even less than that at Taco. So it's too early in the game. I still believe that especially with the millennials this is what you have to do. This is part of their lifestyle. So if you want to operate in this arena you have to play the game.
Brian Vaccaro: Understand. Okay. Thank you.
Operator: Thank you. [Operator Instructions] Gentlemen, it appears there are no further questions at this time. Do you have any closing comments?
Raphael Gross: No. We appreciate everyone's interest in the company and everyone please disconnect and have a good night.
Rich Stockinger: Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for participation.